Operator: Good morning, ladies and gentlemen, and welcome to Veolia Annual Results 2025 Conference Call with Estelle Brachlianoff, CEO; and Emmanuelle Menning, CFO; and also Daniel Tugues, Country Director of Spain. [Operator Instructions] This call is being recorded today, Thursday, February 26, 2026. I would now like to turn the conference over to Ms. Estelle Brachlianoff. Please go ahead.
Estelle Brachlianoff: Thank you, and good morning, everyone. Thank you for joining this conference call to present Veolia's 2025 results. I'm accompanied by Emmanuelle Menning, our CFO; and by Daniel Tugues, Head of Spain. I'm on Slide 4. 2025 was the second year of our 4-year GreenUp plan, and I consider it as a truly pivotal year in our trajectory, and I will tell you how. 2025 was another year of outperformance and historical high. We exceeded our guidance with an organic EBITDA growth of plus 6.3%, above the target range of 5% to 6% despite a complex environment and with a particularly robust fourth quarter. In the 2 years since the start of GreenUp, we have significantly improved our profitability with an increase of 150 bp in our EBITDA margin and plus 11.8% average annual growth of current net income. The first half of GreenUp is a real success, and we are fully in line with our trajectory, even ahead when it comes to our ROCE at 9.4% after tax at the end of 2025. This is 2 years in advance of our targets. But in 2025, above all, we resolutely resumed external growth with 2 major multibillion dollars acquisitions in Water Technologies and U.S. Hazardous Waste, two of our growth boosters accelerating, therefore, the group's transformation towards more international and technology-driven businesses and enhancing the group's growth profile for the years to come. We have also enhanced our shareholder return in 2025 as we complemented our dividend policy with a multiyear share buyback program related to our employee shareholder plan. The excellent 2025 result as well as our strong fundamentals allow us to be very confident for '26 with an ambitious guidance and full confirmation of our GreenUp trajectory building a stronger group going forward. I'm now on Page 4 -- 5, sorry, where you see that 2025 results are at a historic high and largely exceed our initial objectives. Revenue reached EUR 44.4 billion, up 2.8%, excluding energy price, which are essentially pass-through for us, as you know. EBITDA increased by a substantial 6.3% on a like-for-like basis, above our 5% to 6% guidance range and shows a margin improvement of 70 basis points, above plus 80 basis points in '24. We are now at the historical high of 15.9% margin rate -- EBITDA margin rate in Veolia. This is thanks to our continued performance improvement and recurring efficiency gains with an enhanced performance outside Europe, where EBITDA jumped by plus 9.3%, complemented by the last synergies coming from the Suez acquisition 4 years ago. Current net income was up plus 9.1%, in line with our guidance and demonstrating our strong operating leverage. Net financial debt remains well under control at EUR 19.7 billion, even after EUR 2.3 billion of net financial acquisition, closed in '25. Our leverage ratio is at 2.79x at the end of '25, well below 3x, testimony to our strong financial discipline and our capacity to have room for maneuver in the future. Finally, we reach our ROCE targets 2 years in advance and achieved a remarkable 9.4% after-tax ROCE in 2025. Page 6 illustrates our enhanced growth in international markets, notably outside Europe, where our businesses are not only faster growing, but also more profitable with an EBITDA margin already at 17.8%, which is better than the 15.9%, nevertheless, a historical high for the group as a whole. Our revenue grew by 4.1% organically outside Europe with an excellent performances in Latin America, Africa and the Middle East, notably. Emmanuelle will detail each zone performance in a minute, but I would like here to highlight a few key commercial successes. In the Middle East, after years in the making and technical design, we were awarded, and we've just signed a few days ago, a $500 million project in Saudi Arabia for the Saudi Aramco TotalEnergies Consortium, SATORP. We will design, build and operate a massive new plant to treat the super complex effluent of this petrochemical site. In the U.S., in addition to the strategic execution of Clean Earth, which we expect to close mid-'26, our biggest and most transformative acquisitions since the merger with Suez. As you know, we've complemented the strong organic growth with 3 tuck-in and hazardous waste, which are high value creative. In Chile, we signed the first hybrid municipal industrial desalination plant in Valpara so. In India, we secured 2 strategic contracts for 2 of Mumbai's larger water treatment plants. Both facilities will use Veolia cutting-edge technologies. Finally, in Europe, we also enjoyed a very encouraging commercial momentum. Page 7 shows our performance split by activities. On the one hand, our booster activities, which is Water Technologies, Hazardous Waste and Bioenergies have continued to grow at a steady pace in '25, plus 4.3% organic and plus 8% including tuck-ins, almost 2x faster than Strongholds. Strongholds on the other hand, confirmed their resilience and infrastructure life profile with a 2.2% growth. As you know, Strongholds and Boosters go hand in hand with 30% of our revenue coming from a combination of activities. Those numbers are a confirmation of the sustained demand for our proprietary solutions to tackle critical needs from securing water supply to treating pollutant and protecting health. This top line performance translates well into value creation with EBITDA up 4.8% for Stronghold and jumping by 12.1% for Boosters. Emmanuelle will give you all the details in a few moments. 2025 was also the year of the successful launch of new technology and offers. I would like to give you two examples on Slide 8. First, in PFAS treatment, which, as you know, is a fast-growing and very promising business unit opportunity for Veolia. We achieved EUR 259 million of revenue in PFAS in '25, which is up 25% versus 0 in 2022. And as you know, we aim to reach EUR 1 billion by 2030. In 2025, we developed BeyondPFAS, our end-to-end management solution from detection to disposal, combining Water Technologies and Hazardous Waste and including our DropFast proprietary technology to optimize HTI disposal. We already provide PFAS treatment in the U.S., in France and in Australia, and we've already deployed 30 PFAS removal units in our U.S. water operations and plan an extra 15. In the area of new urban energy, we presented our new Ecothermal Grid offer in Poznan last November. It's a truly green heating and cooling solutions for existing and greenfield networks, using untapped local sources of energy, which is really unique at Veolia. We target EUR 350 million extra revenue in 2030. We actually already have a pipeline of GBP 1 billion of projects in the U.K. as part of the deployment of our new Ecothermal Grid offering, and I'm very pleased we were recently awarded a first in this U.K. pipeline with flagship scientific Wellcome Genome Campus in Cambridge. I'm now on Slide 9. In 2 years, the delivery of the GreenUp plan, combining resilience and growth was above our own expectation, both in terms of growth performance and strategic transformation. And this in spite of a complex economic and political context, which impacted foreign exchange rates, fiscal stability and production costs, notably energy costs. These first 2 years were indeed marked by a strong improvement in our profitability and value creation with an average annual 11.8% growth in current net income group share between '23 and '25, combined with a spectacular improvement of ROCE post tax to a record high 9.4% in '25. Our performance during these first 2 years was also augmented by the completion of Suez Energy Plan, which evidenced our capacity to boost the performance of the business we integrate. On Slide 10, given our very strong '25 results, the Board proposed to the AGM a dividend of EUR 1.5 per share, up 7% versus '24 and 20% since '23 and in line with our EPS growth. Since the start of GreenUp, I really -- as I mentioned in the beginning, we have also enhanced our shareholder return as we complemented our dividend policy with a multiyear share buyback program in order to offset the impact of our employee shareholding program. And this represented EUR 402 million in 2025. 2025 was a pivotal year in many ways. I'm on Slide 11. First, 2025 was the last year of Suez integration. We successfully completed our integration plan with EUR 534 million of synergies delivered in full year, above our initial target of EUR 500 million. This clearly demonstrates our track record in securing delivery of value creation when it comes to external growth, and we will, of course, apply those skills to the Clean Earth's acquisition. Moreover, 2025 has also been the year where we've crystallized strategic move consistent with our GreenUp strategy, investing in priority in highly innovative and technology-driven activities, our Boosters and outside Europe. Two major acquisitions were signed or closed in '25, creating value and enhancing the group's growth profile going forward. This began in the spring with EUR 1.5 billion invested in Water Technologies to buy out the minority interest and to fully merge our entities, and be in a position to extract EUR 90 million of additional synergies and enhance our growth capabilities on a worldwide dynamic market. We then accelerated external growth in Hazardous Waste. First, with several tuck-ins for a total amount of almost EUR 370 million in the U.S., in Japan and in Brazil. And finally, with the strategic acquisition of Clean Earth in the U.S. This $3 billion acquisition, the largest in Suez will allow us to double our size in Hazardous Waste in the U.S., positioning us as #2. Veolia will strengthen its presence in the U.S. altogether with more than $6 billion turnover and a very strong position to deliver unique solutions and technologies to remove pollutants, to secure water supply and support reshoring of strategic industries. The complementary of Clean Earth and Veolia's assets in the U.S. will enable us to extract significant synergies of $120 million and will be accretive from 2027, excluding PPA, assuming a closing midyear '26. On Slide 12, we've illustrated the accelerated portfolio transformation underway with EUR 8 billion of asset rotation in 4 years towards a group that is stronger, more international and more technology-rich. This transformation enhances our sustained growth profile and will create additional value for many years to come. We started GreenUp with a divestment program of around EUR 1 billion, including the disposal of our SADE French construction activity and the non-duplicable sulfuric acid generation activity region. In '25, we will have crystallized major acquisition in our boosters, specifically in Water Tech and with Clean Earth to close in '26. We will divest an additional EUR 2 billion in the 2 years post closing of Clean Earth. The typical candidates for disposal are assets that are mature or nonstrategic or undercritical in size. I would like to highlight the fact that these divestitures are not all financing purposes as well finance Clean Earth on our balance sheet and recover 3x leverage as soon as '27, but rather in order to keep flexibility for investment in faster-growing activities or geographies. Acquisitions, net of disposal represent a cumulative net financial investment of EUR 2.5 billion compared to the EUR 2.2 billion initially envisaged for GreenUp. Before we move to our guidance for '26, I would like on Slide 13 to emphasize the group's sustainable growth engine, which explains how we could be confident about our future performance. The demand for our services has never been stronger. And it is here to stay whilst crisis multiple because the proprietary solutions Veolia provides are answers to critical needs for industries and cities alike. Indeed, our customers, businesses and committees are facing growing challenges in terms of water scarcity, water quality, pollution control, supply chain interruption and a growing determination to achieve strategic independence and accelerate industrial reshoring. In short, for cities to deliver essential services for industries to produce, for economies to grow, one thing is nonnegotiable. This is environmental security, securing water, securing energy, securing supply chains, protecting health. We secure water supply to cities by leveraging our unique patent of technologies, our efficient network distribution using AI, by resuming wastewater and running energy-efficient desalination plants. We secure supply chain for industries by mining waste or waste heat to secure local sources of energy or critical minerals, thus avoiding dependents on long-distance imports. We protect health with Hazardous Waste management and depollution, ensuring that drinking water is at the highest standard and securing the license to operate for strategic industries such as MicroE or pharma. Whatever the turbulence in the world, Veolia's mission and unique offer is, therefore, to keep vital resources available, reliable and affordable to enhance strategic autonomy and to take advantage of sustained demand for our services and technology. On Slide 14, I would like now to share how Veolia is uniquely positioned to benefit from this sustained demand as we've built a unique powerhouse for environmental security. Our worldwide leadership and presence in 44 countries always in the top 3, gives us size to innovate and develop unique technologies through our 14 R&D centers. As you may remember, we hold more than 4,400 patents in water treatment, for instance. Our proprietary solutions are then locally delivered, and tailor-made to fit each community or industrial complex specific needs. We are really multi-local in our delivery, which explains why we are not affected by tariffs and why ForEx does not impact our margin rate and central government are not central to us. In addition, our customer base is really varied. 50% from municipalities or public authorities, 50% from private customers and wide ranging from retail and hospitals to microelectronics, pharma or oil and gas. This variety is combined with the long duration of our contracts, 11 years on average. The high Net Promoter Score, which ensures a renewal rate of over 90% and with no one single contract representing more than a small percentage of the group revenue. This offers massive resilience in our performance. Finally, we provide a unique combination of waste water and energy solutions. That's our edge. It's already delivering 1/3 of the group's revenue from these combinations. Veolia has really transformed into a unique global powerhouse for environmental security, organized to grow and innovate whilst ensuring resilience and long-term performance in an uncertain world. This sustained demand and unique positioning gives me high confidence for the years to come as the group has never been stronger. I'm on Slide 15. The GreenUp trajectory is fully confirmed. I would like to highlight why our organic EBITDA and net result growth are sustainable for the years to come because they are fueled by top line growth, supported by sustained demand for critical services, boosted performance in certain activity, notably Hazardous Waste and Water Technologies, superior and continued effort on efficiency and cost control, as well as an ability to react quickly and strongly when needed with specific action plan, as we will see in a minute with Spain and a good track record in successful integrating companies when we complement organic with external growth. For 2026, we have very ambitious targets on an organic basis, which will be complemented by the Clean Earth acquisition when we close the deal. On a stand-alone basis, we expect a continued solid organic revenue growth, excluding energy price, an organic EBITDA growth of 5% to 6%, and I would like to highlight this is without Suez synergies since they are now behind us, a current net income growth of at least plus 8% at constant ForEx. The dividend will continue to grow in line with current EPS and our leverage ratio will be below or equal 3x before Clean Earth. And after Clean Earth, equal or slightly above 3x. As you know, we would consolidate Clean Earth for only part of the year, and we'll be back to 3x or below 3x in 2027. As you know, we have to go through various regulatory approvals before we close the Clean Earth acquisition, which we said will be accretive from year 2 and current EPS. Assuming the closing happens mid-'26, which is the best assumption we can do now, this would mean synergies will start in '27, and the transaction will be accretive to current net income from 2027 before PPA. The $2 billion -- sorry, EUR 2 billion disposal program should be delivered in the 2 years post-closing of Clean Earth acquisition. Before Emmanuelle details our '25 results, I will hand over to Daniel Tugues, Head of Spain. He will give you some color about how we can drive performance improvement and sustain margin increase as well as top line growth in what is a historical activity and typical stronghold for us, thanks to our agility. Daniel, floor is yours.
Daniel Tugues: Thank you, Estelle, and good morning, everyone. I'm Daniel Tugues, Country Head for Spain. I'm very happy to be here today to present Veolia's 2025 results and illustrate our GreenUp execution with a focus on our activities in Spain over the past 2 years. Estelle just mentioned, Veolia is unique because we are an environmental security powerhouse. and this is highly relevant in Spain, where climate change and the scarcity of resources, notably water are central to our citizens' concerns. Indeed, 70% of Spanish people believe that they are vulnerable to the effects of climate change, which are already happening in Spain. Citizens still vulnerable, and I'm afraid they are right. 75% of our land is threatened by desertification. We just went through the worst drought on record, which ended last spring, and it is going to get worse with 20% less precipitation expected by 2050. As it is recognized, these impacts could prove far more costly than the capital expenditure required for adaptation. This is precisely what Veolia is doing in Spain, driving ecological transformation by providing efficient water networks and reuse solutions, by securing supply chains for industries, providing them with local energy and by protecting health with waste management and depollution. Given this geography, it is no accident that we developed innovative solutions early on, such as wastewater reuse, which already accounts for 15% of our water supply and growing and other nonconventional resources such as desalination. To illustrate the point, during the past drought, the water coming out of the tap in Barcelona was sourced 1/3 from traditional sources, rivers and wells, 1/3 from desalination and 1/3 from water reuse. We have shared this experience with our Veolia colleagues. First, with our French colleagues across the building and also with our American teams who are very much looking forward to deploying those solutions in their countries. Veolia is strongly positioned to tackle Spain's critical needs. Spain is the fourth largest country of operations for Veolia, with EUR 2.8 billion in revenues or EUR 3 billion if we include the activities of our specialized business units for Water Technologies and Hazardous Waste. Our presence has grown significantly since 2022 with the integration of Suez and notably Aguas de Barcelona. The defining feature of our presence in Spain is our strong local footprint, deeply embedded across territories and communities. Starting with water, which represents 70% of our revenue. In a nutshell, Veolia is the #1 water provider in the country, locally anchored and positioned across the complete water cycle management from production and distribution of drinking water to the collection and treatment of wastewater. We run long-term concessions such as Aguas de Barcelona, Aguas de Murcia, Aguas de Alicante and many others, and we are also active in water technologies and operate several industrial wastewater treatment plants and desalination facilities. such as those in Tenerife and Almer a. In energy, Veolia is the #1 in building energy services and also leader in energy efficiency. Examples include EcoEnergies, the Barcelona District Heating and Cooling network using residual energies and energy efficiency projects for sites like Hospital Reina Sofia in Cordoba and maybe other similar sites around the country. In waste, we provide circular economy solutions for municipalities and industrial clients, notably in plastic recycling, waste-to-energy and hazardous waste, the latter including a high-temperature incinerator near Tarragona. Our strategy going forward is not only to continue developing those businesses and enhance profitability but also to constantly innovate at EUR 1 billion, especially given the strong demand for treating new pollutants for more simpler solutions and for new sources of local energy from waste or wastewater. On a personal level, having spent many years focused on water, I can say that the One Veolia project is like a tremendous opportunity to me. As for the whole of Veolia, 2025 has been a pivotal year for Spain, and I would like to show you how we have been able to recover while improving our profitability over the past 2 years since the launch of GreenUp. Given the underwhelming performance we faced in 2022 and '23, notably in water concessions, we decided to launch a specific action plan in 2023 called Hunter associated with specific objectives and incentives for managers, not only at the national level but also at the regional one. And I must say that Hunter benefited a lot by leveraging Veolia's performance culture and tools in our Spanish operations, including internal benchmarking on operational costs and KPIs as well as a proven methodology. To boost the top line, we launched a tariff campaign to catch up with cost in water concessions with a tailor-made approach for each of our more than 1,000 contracts. In parallel, we deployed a commercial excellence program to enhance our offers, and we also complemented our organic growth with 13 tuck-ins, mainly in energy efficiency, which were highly value accretive as they are actually plug and play. Over 2 years, this represented EUR 87 million in enterprise value, bought at an average multiple of 7.4x EBITDA. In terms of operational performance, we largely improved our efficiency, not least with AI. For instance, we put in place an AI customer service tool across Spain, that currently deals with more than 1,000 daily transactions, improving availability of our customer service, omnichannel 24/7 no waiting, while at the same time, saving nearly EUR 1 million. Those efficiency measures were complemented by the synergies delivered from the Suez integration. All in all, Spain delivered EUR 109 million in efficiencies plus synergies from 2023 to '25. All that resulted in a very significant improvement of our growth and performance. In 2 years, revenue has grown by 12% and EBITDA by no less than 40%. We are very proud of these results as we are even ahead of our plan to hence Spain's performance. But this is not the end of the journey, as I am focused on continuing to deliver sustainable and profitable growth for Veolia. Demand for all our services in the country is strong, and the power of One Veolia offers many possibilities for combining our diverse expertise to secure essential services. Thank you for your attention, and I will now hand over to Emmanuelle.
Emmanuelle Menning: Thank you, Estelle. Thank you, Daniel, and good morning, everyone. Veolia 2025 results are very strong, perfectly aligned with our GreenUp trajectory and above our initial guidance and that on many grounds. For growth, we continue to deliver solid growth, thanks to strong underlying business trends and fueled by boosters, which progressed by 4.3% and even 8% if we consider tuck-ins. Second, performance in the first 2 years of GreenUp, we considerably improved our profitability driven by strong intrinsic growth and synergies, leading in 2025 to an EBITDA organic growth of 6.3% and to a very strong improvement of 70 bp of our EBITDA margin in 16%, which reflects the success of our strategic choices. We maintain a robust operational leverage, enabling us to grow current net income at a faster pace. And third, capital allocation, while we resume external growth in 2025, we maintain a very strong balance sheet with a leverage ratio below 3x at year-end, thanks to our strong free cash flow. And finally, value creation, the successful GreenUp execution led to an outstanding ROCE, which is the best measurement of our value creation at 9.4%, which was our objective for 2027, so delivered 2 years in advance. With EUR 34.4 billion in revenue, we experienced a solid growth of 2.8%. The operating leverage and the delivery of efficiencies and synergies were excellent and resulted in solid organic EBITDA growth of 6.3%, above guidance, current EBIT growth of 8.9%, current net income growth of 9.1%, with underlying higher growth, even higher if we restate for last year set capital gain. Net financial debt reached EUR 19.7 billion. The leverage ratio reached 2.79x, below 3x as expected. ForEx impact was significant as announced due to lower U.S. dollar and LatAm currency. This reflects the improved performance of our international activities, which is increasing value creation. But as you know, as a multi-local group with very limited international trade, ForEx has very limited impact on margin rate and on net income level. Moving to Slide 23, you can see the revenue and EBITDA evolution by geography. The main features in 2025 was the enhancement of our growth outside Europe and the superior growth of EBITDA in both outside Europe and Water Tech segments. In Q4, EBITDA growth accelerate as announced at the end of Q3, thanks to the benefit of our action plan notably in France and the good performance of Water Tech. I will start with Water Technologies, for which 70% of our activities are recurring, corresponding to product, mobile unit and chemicals, while 30% is more volatile by nature, what we call projects. In 2025 and especially in the first 9 months, project revenue was impacted by the timing of milestone delivery and a strong comparison basis versus last year. And as we announced in Q3, Water Tech revenue rebounded in Q4 and grew by 3.6% for the full year, excluding project by 4.6%. Operational performance was excellent with EBITDA growth of 14%. America, Africa, Middle East and APAC performed well in 2025 with revenue growth of 4.1% and EBITDA growth of 9.3%. Europe grew by 3.3%. And finally, France and Hazardous Waste Europe, revenue was flat, but EBITDA increased by a significant 6.3%, thanks to good Hazardous Waste performance, efficiency action in solid waste and resilient water activity. Now let's take a look at our performance by businesses. Very solid growth in our Strongholds, which proved themselves very resilient with very high margin and capacity to continue increasing EBITDA growth. Let's start with Municipal Water. Revenue increased by 3.5% with a remarkable EBITDA progression of plus 6.1%. We continue to benefit from good indexation, have achieved successful tariff renegotiation in Spain, and in the U.S., which protect our future earnings. Volumes were on a very good trend, up close to 3% in Europe. Solid waste revenue grew by plus 0.5% with a very strong EBITDA progression of plus 6.8%, which illustrates our capacity to implement efficiency plan, supporting EBITDA improvement. Revenue from District Heating Network increased by plus 1.7%, excluding energy prices, thanks to a sustained e-tariffs. Let's move on to our Boosters performance on Slide 25, which have gone very well, with revenue up by 4.3% and by 8% including tuck-ins. Overall, EBITDA performance is excellent, up by 12% with an increase of the average EBITDA margin by 100 bp, which confirms GreenUp choices. Skipping Water Tech that I am just commenting and started with Hazardous Waste. Revenue increased by 5.3%, including tuck-ins and 3.8% organically with EBITDA up by 12.8%, which is outstanding. I would like to highlight especially the strong growth in the U.S., up plus 9.2%, including tuck-ins, fueled by incineration volumes and mix. In Bioenergy, revenue was up plus 5.8%, excluding energy prices, and EBITDA increased by 5.1% with strong sales momentum in Belgium, Southern Europe and in the Middle East. The revenue bridge on Slide 26 explain the drivers of our growth in 2025. Negative ForEx impact decrease in Q4. Scope was slightly negative as the impact of 2024 divestiture, SADE, Lydec and RGS was compensated for a large part by the favorable impact of 2025 external growth. The impact will turn positive in 2026. The expected consolidation of Clean Earth in the second semester 2026 will further contribute. The impact of energy prices was as expected, divided by 2 compared to last year. Recycled prices were neutral. Weather effects after a colder winter at the beginning of year in Europe, Q4 was marginally helpful. The contribution of commerce and volume was comparable to last year. And finally, price effects were, as expected, lower than in 2024 due to lower inflation and contribute plus 1.4% to top line growth. On Page 27, you have the EBITDA bridge detailing our organic growth of 6.3%, above the annual guidance between 5% and 6%. Negative ForEx impact increased in Q4, as mentioned earlier. This impact was very much ups and down the line for EBIT and current net income. Scope was slightly negative, but as expected, was positive in Q4. The impact of energy was minus EUR 40 million, less than last year as expected, while recycled prices were slightly up, plus EUR 10 million. Intrinsic growth contributed by a significant plus 4.8% to EBITDA growth, thanks to the combination of commerce volume works for 2% and pricing productivity efficiency for 2.8%, it accelerated in Q4, thanks to the benefit of our action plan in France and the rebound in Water Tech, including new synergies, and I'll come back later to those synergies. Now let's dive into our second lever of value creation after growth, which is performance and efficiency. I am now on Slide 28, which shows our 2025 performance. In terms of our yearly efficiency plan, we achieved EUR 399 million in gain in line with our annual target of EUR 350 million, which we will, for sure, renew in 2026. Efficiency are indeed a permanent level of value creation embedded in our operation and therefore, one we can count on for years to come, not to say forever. It is worth noting that digital and AI gain already account for 23% of our recurring operational efficiency. Suez synergies are fully completed, as Estelle mentioned. We have achieved another EUR 100 million of gain in 2025 for a cumulative total of EUR 534 million since day 1, well above our initial objective of EUR 500 million, which, as you know, was raised a year ago to EUR 530 million. This overachievement is a testimony to our capacity to successfully integrate our acquisitions and the clear marker of the success of the Suez merger. Going forward, we will benefit from the synergies coming from the merger of our 2 Water Technology entities following the buyout of the 30% minority stake of CDPQ in June '25. We target EUR 90 million by '27 and EUR 20 million have already been achieved. On top of that, after we closed the acquisition of Clean Earth mid-'26, we will start the integration process and target a total amount of $120 million of synergies between 2027 and 2030. Let's now analyze our performance below EBITDA, and I am on Slide 30. Going down to current EBIT, this slide illustrates perfectly the operational leverage of our business model. 2.8% revenue growth, 6.3% EBITDA growth and 8.9% EBIT increase. Current EBIT grew to EUR 3.7 billion at a faster pace than EBITDA. I am particularly pleased with our financial results, which excluding financial capital gains, show a slight decrease of EUR 21 million of our financial charges. This was due to a combination of a well-controlled cost of debt and lower other financial charges coming notably from French exchange results. We did not benefit in 2025 from net financial capital gain contrary to 2024 with the SADE disposal. The tax charges were only slightly higher by EUR 11 million, and our current tax rate decrease from 27.1% to 25.4%, thanks to the benefits of Water Technologies fiscal synergies. Finally, current net income increased by 9.1% at constant ForEx in line with our debt. Moving to net income group share, I am on Slide 31. Noncurrent charges were stable at minus EUR 433 million. They include additional integration costs coming from Water Tech merger, one-off restructuring charges and an exceptional litigation provision in 2025. Net income group share reached EUR 1.2 billion, showing an excellent growth of 10.9%. Now free cash flow generation, which is key. I am on Slide 32. I am satisfied with the progression of the net free cash flow of EUR 39 million at constant ForEx, which we achieved despite the working capital evolution due to less project down payment in Q4 and one-off litigation payments in 2025, including Flint for around EUR 70 million. The underlying evolution of our working capital was, in fact, quite good with another reduction in the DSO of 5 days to 74 days. Thanks to our dedicated plan, which will continue quicker invoices. We have a clear plan to reduce time to invoice, cash collection, new ERP with use of AI. CapEx was once again under site control and was stable in 2025. CapEx will remain under control but continue to include significant growth CapEx, which will generate EBITDA. As you can see on Slide 33, net financial debt is well under control, which is EUR 19.6 billion at the end of 2025 versus EUR 17.8 billion at the end of 2024. This increase of EUR 1.8 billion is due to the resumption of external growth with EUR 2.3 billion of financial investment, which includes the purchase of the Water Tech minority stake for EUR 1.5 billion. This was not at the detriment of our leverage, which remained well below 3x at 2.79x. This bridge also reminds you of our share buyback program, which has been launched to offset the dilution of the employee shareholding program for EUR 400 million in 2025. We have, again, in '25, successfully issued new bonds, which attracted market interest and was done with very good market conditions. I will also mention that 85% of our net financial debt is at fixed rate. Our balance sheet, therefore, remains very strong. Both rating agencies confirmed strong investment-grade rating in '25. Before concluding, this slide reminds you of our 2026 guidance, which Estelle has commented earlier, continued solid organic revenue growth, excluding energy prices, EBITDA organic growth between 5% and 6%; current net income of minimum 8% at constant ForEx, excluding Clean Earth, which we will close mid-'26 and which will be accretive as soon as '27, excluding PPA, leverage ratio equal or below 3x, including Clean Earth and equal or slightly above 3x with Clean Earth acquisition. And as usual, our dividend will grow in line with our current EPS. And we fully confirm our GreenUp objective. Finally, let me remind you that we have started our $2 billion nonstrategic asset divestiture program, which I cannot, of course, give you detail, but which will also contribute to the continued soundness of our balance sheet while providing us with balance sheet headroom. Thank you for your attention.
Estelle Brachlianoff: Thank you, Emmanuelle. Thank you, Daniel, and we are ready, 3 of us, to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Arthur Sitbon with Morgan Stanley.
Arthur Sitbon: I was wondering basically about your 2026 current net income target, which is at constant FX and basically without the Clean Earth impact. I was wondering if you could provide some more thoughts on at the current FX levels, what do you see as the mark-to-market impact from FX on your 2026 numbers as well as potential comments to understand a bit the magnitude of the Clean Earth impact for 2026? And you confirm the GreenUp target. So you talked about 8% growth in net income in 2026, but there is more growth. It's a 10% pace annual for -- by 2027 for the GreenUp target. So I was wondering basically if we should understand that net income growth will considerably accelerate in 2027. And my last question is just on your broader medium-term objectives. I was wondering if at some point you would consider rolling over your targets and maybe guiding to 2028 and 2029 or if we should wait for early 2028 for your new business plan?
Estelle Brachlianoff: Thank you for your questions. Many different ones. Just a few things. We're very happy about the 2025 results, which was a very value accretive and a history high and well on our trajectory of GreenUp and even exceeded some of the target in EBITDA and in ROCE, just to mention the 2 of them. In terms of the guidance for '26, you have noted that the guidance left-hand side of the slide, if you want, is without Clean Earth and after Suez merger. So in a way, it's a kind of stand-alone. But of course, the acquisition of Clean Earth will be accretive for years to come. So the way to have a look at it, and that's why it's an ambitious one. We are saying that without any Suez synergies and before the accretion and the synergies of Clean Earth, we are able to deliver in '26 5% to 6% organic growth of EBITDA and at least 8%. So it can be more than 8%, but it's at least 8% of net results. That's what the guidance says. So I just wanted to highlight that it was after Suez and before Clean Earth. which means that it's really a confident and ambitious guidance, which I'm very confident we will deliver. In terms of the global ForEx element, and it's not only on like net results, it's on everything. I just want to highlight again that ForEx for us is a translation, not transaction. In other terms, as I tried to explain, we are a multi-local delivery company, which means that the cost and revenue are in the same currency. And therefore, ForEx up or down doesn't impact our margin. And we've proven it in '25. We've proven in '24, within 2 years, plus 150 business point -- bp, sorry, of margin increase. So proof is in the pudding, as you say in English, that it doesn't impact our margin. And as you know, ForEx translation at 100 at the top of our P&L goes down to 20 basically, so 20% or divided by 5 when it comes to net results, that's the global figures that we've already mentioned. But again, ForEx for us is not a real thing, as you know, like it doesn't impact our margin. It's more a sign of our being international and goes up and down, but it's not a question of anything, but the translation of us being very international. In terms of the targets midterm. So what the GreenUp trajectory, which I could fully confirm today and have fully confirmed it today, is 10% on average over 4 years, assuming, of course, more than 8% this year, and there is no reason why it should slow down going forward. We've achieved already 12% in the first 2 years of the plan. So we are really on the at least 10%, which we've said we would deliver in the GreenUp trajectory. So I guess that's a confirmation again. So another way to see the guidance for '26 on net result is in '25, we said and we have delivered around 9% of net result increase. And this was with Suez synergies in. And in '26, we said we'll do more than 8% without Suez synergies, and again, before like any positive effects of the Clean Earth synergies. So in terms of rolling over targets, that's always a good question. We have a few moving parts here. And the big one is the timing of the closing of Clean Earth, which everything is running exactly as we expected so far. But I will wait until we have the various authorization before we can have a clear timing, but that's a good point. At one point, we will be able to show visibility over years beyond 2027 GreenUp. But what I can say from now on is we've already crystallized with the acquisition of Clean Earth, value creation beyond 2027 with the synergies as well as enhanced revenue growth. So the more the company is international innovation-driven, which we are transforming quite rapidly the portfolio into, the more in the years to come and beyond '27, you will have a company, which is enhanced growth and enhanced value creation, in particular, thanks to the synergies of Clean Earth. I don't know if you want to complement something, Emmanuelle?
Emmanuelle Menning: So maybe one element. So very quickly, as mentioned by Estelle, the figure that you see and the 2026 guidance is fully aligned with GreenUp. We have demonstrated in the past a very good result for the first part of GreenUp. I'm not going to mention again the ROCE, which is absolutely amazing 2 years in advance. And as mentioned by Estelle, you have seen the trajectory in terms of EBITDA with a target between 5% and 6% which is very strong, which is long term and which also show our capacity to grow on high potential growth and high-margin businesses as without the merger -- the Suez merger synergies, we are continuing on the same trend. In terms of ForEx impact, you will have at net result level, it's our estimation based on the ForEx rate for -- at the end of December, an amount which is similar to what you had in 2025. So '26 equal to 2025. You were mentioning...
Estelle Brachlianoff: It's difficult to say because ForEx goes up, ForEx goes down, like it's super uncertain.
Emmanuelle Menning: Yes, it's with the estimation that we have for the -- at the end of 2025. And where you're right is that, of course, in 2027, we will benefit from synergies from Clean Earth and the full synergies also of Water Technologies. And the element, which is, for us, very important is that you know at Veolia that the trains are arriving on time. You have seen what we were able to do with ROCE, with EBITDA, and we don't have any intention to stop and to not have this impact.
Estelle Brachlianoff: You can't confirm that.
Operator: Your next question comes from the line of Bartek Kubicki with Bernstein.
Bartlomiej Kubicki: I would like to discuss 2 aspects as well, please. Firstly, if we think about tariffs overall in waste and water in 2026, where do you see them moving and more specifically in France as 2025 was relatively subdued in terms of revenues increase in both waste and water? And secondly, if we think about your M&As, which has just happened and which are about to happen this year, just 2 sub questions. A, what will be the contribution of Clean Earth into your net income once it is being acquired? And secondly, what will happen to your integration costs with now 2 companies, or in 2026, 2 companies being integrated into your group? Shall we expect an increase going forward? Or shall we stay flat at around whatever EUR 30 million, EUR 40 million per annum as in the past?
Estelle Brachlianoff: Thanks for your two questions. So in terms of waste and water price more so than tariff, probably, I don't know, and specifically in France, a few things. Altogether in terms of price for our activities, as you know, 70% of the Veolia revenue is indexed and 30% is prices in pricing. And as we said, like inflation is relatively neutral or slightly positive for us, which means that when the cost base goes up, the price go automatically up or via pricing and vice versa. So everything is a way to protect our margins. So I think the priority for us is to protect our margin. In terms of anticipation for '26 in France, it will depend on inflation and a few indexation formulas, which have anniversary dates. I don't expect a big plus in '26 in terms of this indexation given the inflation is relatively low, but that was anticipated. And again, that cost base and revenue base are in the same type of range. What I could say in addition is, in a way, the proof is in the delivery of our performance in France in '25 because we had a revenue which was relatively flat roughly but a big plus in EBITDA, which you see on slide -- I can't remember where it is. But anyway, you will see that in our pack. And this is thanks to our action plan. And in a way, that's exactly the same example, which Daniel just highlighted in Spain. We increased our EBITDA by a lot more than our revenue, thanks to a lot of efficiency plans, and it was specifically the case in Spain and France because we anticipated it. We knew that there won't be a big push from the revenue, from tariff or from specifically or indexation or from the economy. And we launched specific action plans. So it was Hunter in Spain. It was called Ariane in France, and it delivers results. It delivers results in EBITDA level. So what we expect in '26 is exactly the same as we've seen in '25. Top line probably modest, but EBITDA will grow again in '26 in France and in Spain, plus Daniel has ambition on the top line as well, as you've heard him explaining earlier on. In terms of M&A and Clean Earth's net income. So basically, the question is the timing of the closing. We said it would be accretive in current EPS from year 2. So assuming the closing is mid-'26, it will mean year 2 is mid-'28. So mid-'28 is not a point where you look at the net result because it's end of the year. So assuming, again, end of mid-'26 we close. It will mean that in '27, it will be accretive before PPA and in '28 accretive even after PPA, if you want. So more accretive before PPA and accretive altogether, including the PPA. And it's a very modest dilution in 2026. Again, assuming the timing I just highlighted, modest as in what really, really less than 0.5% of potential dilution, again, assuming the timing I just highlighted. And integration costs, we've highlighted, we will have integration costs in the 4 years of the delivery of the synergies. So synergies $120 million in 4 years. And integration costs, we said...
Emmanuelle Menning: We communicated when we when we did the signing at the end of November, so it's less than the $120 million. It would be around $90 million.
Estelle Brachlianoff: Yes, we said $90 million over 4 years. You have years with a bit more, years with a bit less. But roughly, if you divide on average the $90 million by 4 years, you have a good estimate.
Operator: And your next question comes from the line of Olly Jeffery with Deutsche Bank.
Olly Jeffery: Two questions for me as well, please. The first one is staying on the topic of M&A. You're looking to divest EUR 2 billion of investments or assets rather within 2 years of closing the Clean Earth deal. Could we expect you to get on the front of that and do that potentially some divestments by the end of this year? And do you have any color at all now on what type of assets you might be looking to or geographies you might be looking to divest in? And the second question is on hazardous waste in the U.S., but again, connected to Clean Earth. In the U.S., you've got finite incinerators, potentially more onshoring coming to the country. That seems like quite a good combination for having pricing power going forward. Compared to when you made the Clean Earth acquisition, do you think actually the environment for hazardous waste in the U.S. has improved? And we've seen some hazardous waste peer share prices in the U.S. do particularly well year-to-date.
Estelle Brachlianoff: Two good questions. So on the EUR 2 billion disposal in the 2 years following the closing of Clean Earth, a few things. The timing I mean, we have, as you can imagine, a list with Emmanuelle and with the various options, and I won't be detail -- I will not detail them today. Nevertheless, I can give you a little bit of color on this list. So we have not anticipated a big sell in '26. We will go on with the traditional small and medium portfolio rotation, which we do every year anyway, but nothing as a big as a big object is in our plan so far. So what are the typical candidates in this list, which is another way of answering your question. I guess, threefold, one is mature. The other one is nonstrategic. And the third one is not in the top 3. Let me explain them one by one. What I mean by mature, it means a business, which we don't think we can grow much more the profit in the years to come. I'm talking about the profit here. As you can imagine, in some of our Stronghold activities, we still have a way to increase our profitability, and therefore, we would keep them. So it's really the -- if we are the max of profitability, and we don't anticipate any way to go better. The second, like criteria is what I call nonstrategic. Nonstrategic, typically, it's what we've done when we've divested the SADE, which is a construction business. We said years ago, we don't want to be in construction. We want to be in technology. And that was a good example of that. The third one is what I call non-top 3. As you've seen in our geographical strategy, there is an element of when we are in a country, we want to be in the top 3 of this activity in this country. It's a key element to have pricing power, for instance, which is what we said earlier on. We have a few smaller objects which are not yet in the top 3. So either we have a way to put them in the list in the years to come or if not, we will divest them. So that's the 3 criteria lists, which met the list which we have with Emmanuelle, and we have various option and will deliver in the 2 years following the Clean Earth closing. In terms of Hazardous Waste, you're right, we're super happy about Hazardous Waste business in the U.S. And there is nothing in the last few months, which is anything but confirming it's a very good acquisition, the Clean Earth one. Synergies-wise, platform-wise, including to be able to develop other services of Veolia beyond the Hazardous Waste. So you're right, the trend is good. We've seen a very good Q4 in Hazardous Waste in the U.S. for us. If I remember why it's a 7% organic growth for Q4, which is a very good positive way to end the year, and to begin the next one. So all the lights are really on a green light. We are very, very confident it will create a lot of value for years to come.
Operator: Next question comes from the line of Juan Rodriguez with Kepler.
Juan Rodriguez: I have two on my side, if I may, more follow-ups. The first one is on guidance at the net income level in 2026. I want to be clear. You said that you expect no synergies from Suez, but it does include water tech synergies on 2026. Is that right? And can you please quantify the fiscal positive effect that the water tech synergies had on your 2025 results because it supported a lower tax rate? And are they part of the EUR 90 million synergies that you're targeting. So this is the first one. And the second one is on France. You said that performance was slightly better in 2025 despite weaker revenues. Can you please quantify the level of the performance that you had in here? And what is expected ex Hazardous Waste? And what is expected for 2026? You signal some improvement in the region, [indiscernible] in the low to mid-high single digits. So some color on that would be helpful.
Estelle Brachlianoff: So I've tried to note down all your question. Hopefully, I won't miss anyone, anything. So you're right, the net income guidance before Clean Earth acquisition in '26 does not include any Suez synergies because it's over. Does include, of course, the recurring gains, which will, again, efficiency gain more than EUR 350 million again in '26. And does includes some of the CDPQ water tech synergies, but they are not of the same magnitude of the Suez acquisition. That's why I won't compare apple and pear. But you're right, they do include some synergies of the water tech. I want to say that it started well with -- in H2, we already had EUR 20 million, if I remember, Emmanuelle, of synergies from the Water Tech acquisition, which was delivered in H2. We've closed in on the 1st of July. So EUR 90 million over 3 years, EUR 20 million already delivered in H2. There will be another lot in '26, another lot in '27. And that's when I mentioned the synergies as in EUR 90 million over 3 years. This is the EBITDA synergies, if you want, because we said clearly that they were on top of that fiscal and in a way, net income synergies, which already were delivered a lot in '25. So EUR 20 million of EBITDA, if you want synergies already, plus already some fiscal synergies in '25. Do you want to comment on the fiscal tax rate. Fiscal tax rate, maybe, Emmanuelle.
Emmanuelle Menning: With pleasure. Thank you for your question. So as you know, in the GreenUp plan, we targeted a tax rate of 27%. Our current tax rate in 2025 decreased significantly from 27.1% at the end of '24 to 25.4%, thanks partially to the benefit of our water technology synergies. As an example, in the U.K., we have been able to offset past and future tax losses, which were not recognized before. In France, also, we were able to merge the total group of Water Technology. And also in 2025, we benefit from a positive impact led by the anticipation reduction of the CIT rate in Germany. So all of that is contributing to the good tax rate and we have also a positive ambition for 2026, which participate to the net result as the fact that we have the cost of debt fully under control. And on your question about France EBITDA, hopefully, you have the answer on Slide 23. Where you see the business unit Front and Hazardous Waste Europe with a revenue which was basically flat compared to -- or slightly negative compared to '24 with all the -- what we said about indexation formulas and so on and so forth, but a plus 6.3% EBITDA growth. So I think that's the type of results we see from the specific action plan we've launched 2 years ago in Veolia, we just don't wait. We anticipate and act quickly and strongly. So this was called Ariane in France, and you see the results. And this was called Hunter in Spain. And you've seen in Spain, and it was presented by -- because it's kind of a bit the same, plus 14% EBITDA growth in '25 compared to '24 in Spain. And we won't stop here. So you can go on with this type of improvement in '26 for France and for Spain.
Operator: And your next question comes from the line of Davide Candela with Intesa Sanpaolo.
Davide Candela: I have two, if I may. The first one is if you can share with us sensitivity on energy prices, mostly with regards to Europe. I know that in most cases, the energy component is a pass-through for you, but at least if you can provide a bit of sensitivity that would likely most refer to your WTE plans throughout Europe and so on? That would be the first one. Second one is with regards to your approach to demand. You said that the demand for your services is strongly increasing. I was wondering if you can share how you approach that in the sense that you are being selective in waiting. And so taking the most valuable contracts or opportunities or on the other hand, you are taking a more aggressive approach in trying to put more pressure on power on your prices and just being proactive in trying to take demand from your clients directly. And with regards to that also on volumes, which is the capability you have to attract more and more and if there is a risk of saturation in that respect And yes, that will be the second one.
Estelle Brachlianoff: Thank you. So energy price sensitivity. So you're right, energy price for us are global pass-through. This is why we published and we've been publishing for years now, excluding energy price. Why is that so? Because we mainly sell heat and when you know the price of the entrance as in what we have to buy to produce the heat for the district heating net price goes up, the tariff goes up. And that's why it protects our margin again. The little effect, which is not what I said, is on the cogeneration of electricity, if you want, and the ancillary service is associated with it, where it's a little bit more into our margin. So it's more -- it's not the main product for us. We're not a producer of power. We're not at all. But we use all the equipment and infrastructure we have, specifically in district heating and things like that to try to deliver ancillary services in addition and on top. So this top-up is what can go up and down, and it's a little bit more like variable for us. If you have a view over 3, 4, 5 years in a way, you can see that in our figures because as you can imagine, the price of energy in Europe has gone through the roof in '22 and then down very massively in '23 and '24. And you can have a look at the sequence of our EBITDA in our Energy business over 4 years. There was a big plus, a small minus for the reason I just mentioned in terms of the cogeneration of electricity. But altogether, the curve is on the up over these few years. So in a way, we've demonstrated what I said in the figures from '22 to '25. In terms of the demand for our service, what I was trying to highlight is, I was asked a lot of questions about, okay, is Veolia about ecology, the environment? Yes, we are, but we are more about critical needs. I think this is important. So whatever the elections results are in a country, we're not about politics here. We're about critical needs for industries and population. That's what makes us super resilient when it comes to supply of water, when it comes to supply of critical materials and critical minerals, when it comes to supply of energy, we produce local resources Therefore, they don't depend from like far away imports, disruption of supply chain and so on and so forth, which is very key for all our customers. So that's why the demand is, in a way, the more the crisis, the more the demand is paramount because we are really critical for our customers. In terms of your question about how selective are we shooting everywhere? It's the former of the latter. We still are very selective. We don't want revenue for the sake of it. We want revenue, which can create value not only for 1 year but for years to come. The 2 keywords are resilience and growth here. The business model of Veolia is really sustainable growth and for years, which means that we've intentionally decided not to bid for specific tenders, for instance, in West municipal collection because it was not value creative for us to focus on what is very value creative, typically our growth boosters. So we are very selective and the choices are clear, the growth Boosters. So Water Technologies, Hazardous Waste and bioenergy. In terms of where we go for saturation at one point in terms of volume, do have a limit in a way, in our plants and installed base. This is not exactly the way it works. In water, the needs go with the growth of the population or the growth of the industries and the plants do follow, if you want, and that's what we've seen regularly. In terms of Hazardous Waste, it could have been a limiting factor, and that's exactly why we have invested in 5 new facilities across the globe, which are just ramping up from last year till 2028, exactly to be ensuring we unlock the future growth. So we're not only at Veolia talking about the guidance for '26. And when I say we have an enhanced profile of growth for years to come, I can talk to you about '28, '29, 2030, even with the Clean Earth acquisition synergies and investments we've made.
Operator: And your next question comes from the line of Philippe Ourpatian with ODDO BHF.
Philippe Ourpatian: I have three questions, in fact. One is a slight, I would say, a clarification concerning the efficiencies means that the Slide 27 is showing EUR 326 million growth in performances on which you have some price effects and volume effects. I would like to know exactly what was the amount of the efficiencies you were mentioning, in fact, previously in your slide has separated from works, volumes and commerce. That's the first question. And in this question, there is also another one concerning the next slide, which is the 28, where you are mentioning EUR 399 million. It's over the target of EUR 350 million of efficiencies. Could you spread it a little bit more by activities or geographies? You mentioned France and Spain as a specific plan, but to have more color about where this EUR 399 million were generated? Second point -- second question is hazardous waste. Could you just remind us or elaborate more about the new facilities because Germany -- in Hazardous Waste, Germany has started, if I'm not wrong. And there is some other geography where you are working, U.S., U.K., Saudi Arabia and Asia. Could you just remind us, in order to take into account those volumes and maybe value creation effects? And last, you just issued a press release concerning India. Your famous French competitor also issued a lot of press release concerning this area. It seems to me that India was not an easy country. We have seen Suez losing a lot of money years ago in this contract. What has changed in this market concerning water? And what are the level of risk or capital employed you are injecting in this kind of country, even if I do think that it's mainly through OEM contract?
Estelle Brachlianoff: It looks like you have not only the question, but the answers, and you're right. But I will elaborate in a minute. So efficiencies in a way, the answer is on Page 28. So efficiency, EUR 399 million, which we've retained 47%, right, Emmanuelle?
Emmanuelle Menning: Absolutely. So [Foreign Language] Philippe. So roughly, when you say -- you're absolutely right, from the EUR 399 million which have been fueled by all the specific action plan also which were in France and in Spain and the rest is, as you know, fully embedded in our business for 70%. We have been able to retain 47%. When you look at this number, if you want precise number, we have volumes commerce, which is around 10% growth and pricing net efficiency, which is around 2.8% growth. So roughly EUR 140 million and EUR 190 million.
Estelle Brachlianoff: So 47% of EUR 399 million equals EUR 189 million, plus volume and commerce, roughly equals what you see on the slide. And where is it mainly? So the beauty of the Veolia's model, it's everywhere. That's why we're so confident we can keep it forever because it's a series of plants everywhere in the globe, which have initiatives, which combined give you the number. The specifics where you have more than the average are France, Spain and China. France, Spain and China launch specific plans, which were more than the average, given the fact that we're disappointed by the result in '23, basically for those geographies. So we've launched specific action plan with specific names, the Hunter, the Ariane and there was an equivalent one in China. And that's why on those geographies, we have a perfectly big disconnect between revenue and EBITDA growth because this was thanks to the very, very well-executed delivery of this plant, which again won't stop. Hazardous Waste. So the various Hazardous Waste -- yes, do you want to add something on the...
Emmanuelle Menning: Yes, with pleasure. So you know us perfectly well, Philippe. Regarding the efficiency, one point that I wanted to add. As you know, 70% is fully embedded in our business model. It's what we sell, selling price increase, purchasing and procurement improvements. And on top of the 3 specific plans that Estelle has mentioned, and which are taking a lot of energy to the French team, but also to Daniel in Spain. So with very, very specific action plan where you have strong SG&A efficiency on top of procurement and on top of operational improvement, we have launched this year, and you see it in our results. What we call, it was a project which was called Mobi. So we are dealing with a lot of energy of what we consider as assets, which are not as performance as we wanted them to be, meaning that for us, it's a clear approach of upper out and all the team is working very, very strongly to it, and it's in all our geographies, and it is contributing toward our leverage -- operational leverage that you see and the increase of EBIT of 8.9%.
Estelle Brachlianoff: In terms of Hazardous Waste, you're right, we have 5 new plants which are under construction or under commissioning. In terms of the sequence, we've showed it during our deep dive on waste a few months ago. So we are exactly on the trajectory we showed you at that time, which means that just to refresh your memory, you have a phase of construction, but then you have like what we call cold commissioning and then hot commissioning and then ramping up of operational performance with a commercial -- commercializing the plant. So depending on the difference, what we call by ramping up, again, cold commissioning, hot commissioning and then commercializing progressively the total capacity of the plant. It takes quite a while. It's not you press a button and it's on and off and 100% instantly. It takes usually between the cold, hot commissioning and the full capacity 2 to 3 years. Just to give you an idea. This is classical in this business, but then you're here forever, which has its merit. And in terms of the as orders of the being in this situation, the first to come online has been the Saudi one which has already gone through the -- and I hope I won't miss one, but the cold and hot commissioning and we are in the ramping up of the commercial activity, then the next on the line is Blue Jay, which is our facility in the U.K. in solvent, which is in the ramping up mode as well. I think we've finished the hot commissioning, and we are in the ramping up of the commercial activity. Then the next on the new will be the German one you mentioned, but which is not there yet. We are more at the end of the construction phase, if you want, not yet in the commissioning one. The next one will be in Asia and the next one will be in the U.S. All that means that combined, if I remember well, we've put again the figures in our presentation. But if I remember what it's 285,000 tonnes of capacity, which will be active at the end of GreenUp, but out of 130,000 tonnes of capacity when they are fully ramped up 100%, so 1 or 2 years after the end of GreenUp. And India, you're exactly right. We're not doing crazy things in India. That's why I was super proud about this contract, which is new of its kind. You've answered yourself the question, like there is not funds employed at all of Veolia. We've delivered technologies, and then we'll have 15 years of O&M contract. So it's not about funds employed here. It's about selling technology and know-how in terms of maintaining plant. Those are massive ones. We are talking about a plant, which will be able to sustain the water supply for 60% of the entire Mumbai global population, which I remember is a 12 million like population. So those are massive, and I'm very happy that it was without risk associated exactly, as you said. So we're not chasing revenue for the sake of it. So we said we will exit construction. So in India, many, many -- so it's EUR 250 million backlog, by the way. We are not chasing revenue for the sake of it. So that's why a lot of the contracts which were announced by competitors, we didn't even bid to be honest, because we don't want to be in construction and pouring concrete. This is not what we do. We do sell technology, plus we do want to be in the O&M. All the rest, we just don't go for it at all. So we are super selective in India as elsewhere, but this opportunity was a very, very good one.
Operator: [Operator Instructions] Your next question comes from the line of Charles Swabey with HSBC.
Charles Swabey: Just one question for me on efficiency gains. And the '23 that came from digital and AI in '25, can you give us an idea how this compares to your assumptions when you put together the GreenUp plan? Would you say that they have exceeded expectations? And how should we think about this going forward?
Estelle Brachlianoff: Thanks for your question. We have no idea there will be AI at this level when we launched GreenUp, which was at the end of '23, we've conceived the whole thing and launched it beginning of '24. So we had no specific expectation. We knew we were already very much into digital. or AI, but not GenAI, if you want. And this is really ramping up and a big potential for future efficiencies in the years to come. I think 23% is already a big figure. So we're not the style of talking about things we're trying to deliver that instead of talking too much. And I think that was a proof of it. We've picked our battles as well because some of it is more a miss than delivering new results. We've picked the tools, which actually are delivering real efficiencies. Real efficiencies for us means consumer less water, produce more green energy. This is the criteria, which we've picked a few proof of concepts and there were many of them, we've picked a few just to be on the scaling up front.
Emmanuelle Menning: And what is also absolutely amazing is the increase of the percentage of digital. It was in the past 5%, 10% of our efficiency gain and now it's 20%, and it will continue to increase.
Estelle Brachlianoff: You're right. Yes. I will say thank you very much. It looks like we have no further questions. And just wanted to say how happy we are about 2025, which not only was on target or even beyond targets in a few different KPIs, but as well as really a pivotal year for Veolia. We've crystallized major transformation in our portfolio, which will generate really enhanced growth and value creation for years to come and years with a lot of assets, as in '26, '27, '28, '29. I'm very confident about Veolia's trajectory, and there is more to come. Thank you very much. And let me, before I finish, I invite you not to miss what we've put on the slide, which are a few dates. If you want to have more information about our ESG agenda and multifaceted performance that's a webinar on the 23rd of March, and we'll have a deep dive on innovation, tech and AI in London on the 14th of April. Thank you very much.
Operator: Thank you. And ladies and gentlemen, this now concludes today's presentation. Thank you all for joining. You may now disconnect.